Operator: Thank you for joining us for Navios Maritime Partners Fourth Quarter and Full Year 2017 Earnings Conference Call. With us today from the Company are Chairman and CEO, Mrs. Angeliki Frangou; Chief Financial Officer, Mr. Efstratios Desypris; and SVP of Commercial Affairs, Mr. Tom Beney. As a reminder, the conference call is being webcast. To access the webcast, please go to the Investors Section of Navios Partners’ website at www.navios-mlp.com. You’ll see the webcasting link in the middle of the page and a copy of the presentation referenced in today’s earnings conference call can also be found there. Now, I’ll review the Safe Harbor Statement. This conference call could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Partners. Forward-looking statements are statements that are not historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Navios Partners’ management and are subject to numerous material risks and uncertainties which could cause actual results to differ materially from the forward-looking statements. Such risks are more fully discussed in Navios Partners’ filings with the Securities and Exchange Commission, including the Company’s most recent 20-F. The information discussed in this call should be understood in light of such risks. Navios Partners does not assume any obligation to update the information contained in this call. The agenda for today’s call is as follows. First, the team will offer remarks and then we’ll open the call to take your questions. Now, I turn the call over to Navios Partners’ Chairman and CEO, Mrs. Angeliki Frangou. Angeliki?
Angeliki Frangou: Thank you, Laura, and good morning to all of you joining us on today’s call. I am pleased with the results for the fourth quarter and full year of 2017. For the fourth quarter, Navios Partners reported revenue of $59.3 million and adjusted EBITDA of $37.1 million. For the full year, Navios Partners reported revenue of $211.7 million and Adjusted EBITDA of $133.1 million. As you can see in slide 4, today NMM owns 39-vessel fleet, consisting of 32 dry bulk vessels and 7 container vessels. NMM also had a significant investment in Navios Maritime Containers, a growth vehicle created to leverage big weakness in the container sector. Navios Maritime Containers now has a fleet of 21 container ships. Slide five provides some of Navios Partners’ highlights. NMM expects to generate significant cash flow and has no near-term debt maturities and low leverage. We have about $603 million in contracted revenue. More than 90% of this is through charters longer than three years. In addition, our credit ratios are strong with 36.8% net debt to book capitalization as of Q4 of 2017. Slide six highlights NMM’s dynamic growth platform. Navios Partners’ strong balance sheet and opportunistic approach, has allowed to not only to weather challenging markets, but emerge as a vibrant growth platform. Today, NMM has no near-term cash requirements whether for CapEx or debt maturities. Therefore, any free cash flow can be deployed for growth or if conditions warrant, return to shareholders. For 2018, in the time charter rate market, we expect to generate about 90 million of free cash flow. If the market were to reach 20-year average charter rate, we would generate about $160 million in free cash flow. As I mentioned a moment ago, we are investing in the future by renewing and enlarging our dry bulk fleet. From the beginning of 2017 up to date, we have grown our fleet by 8 vessels. We did this by selling two older vessels and purchasing nine younger vessels and entering into one long-term bareboat charter. In 2017, we acquired seven vessels with an average age of 7.4 years and sold two with an average age of 20 years. This materially decreased the average age of our fleet by 20%. In 2018, we added three vessels. First, we acquired two 2006-built Panamax vessels for $22 million. These vessels should be delivered in Q1 of 2018. We also entered into a favorable bareboat charter for a Kamsarmax new built vessels with the purchase option, expected to be delivered to our fleet in the second half of 2019. The table provides details of vessels we acquired are in large fleet in the recovering market create opportunity of generating significant free cash flow. We expect to generate about $90 million of free cash flow at current market rates and about $160 million if rates equal to 20-year averages. We also leverage the prolonged weakness prevailing the container sector, by creating Navios Maritime Containers to develop critical mass in the container sector. We this asset, we opportunistically agreed to acquire a 14-vessel container ship fleet in the distressed sale. To-date, Navios Containers has raised $150.3 million of equity and purchased 21 container ships. Navios Partners invested $50 million and received 34% equity stake plus an additional 6.8% of equity in the form of warrants. Slide seven provides further light to our fleet renewal and expansion program. We added eight vessels to our fleet on a net basis. As a result, we increased our fleet by 37% on a dead-weight-ton basis. We also decreased the average age of our dry bulk fleet by 12%. Slide eight, illustrates our low-day breakeven per open day. For 2018, our estimated daily breakeven per open day is only $4,767. Therefore, our fleet is expected to generate significant cash flow through 8,313 open and index days. At current rate, our fleet has the ability to generate about $90 million of free cash flow. As charter rates recover towards the 20-year averages, our fleet can generate an additional $160 million in free cash flow. Slide nine shows our liquidity. As of December 31, 2017, we had total cash of $29.9 million and the total debt of $493.5 million. We have a low net debt to book capitalization ratio of 36.8% and no significant debt maturities until 2020. At this point, I would like to turn the call over to Efstratios Desypris, Navios Partners’ CFO, who will take you through the results of the fourth quarter of 2017. Efstratios?
Efstratios Desypris: Thank you, Angeliki, and good morning all. I’ll briefly review unaudited financial results for the fourth quarter and year ended December 31, 2017. The financial information is included in the press release and is summarized in the slide presentation on the Company website. Before I start the discussion on the highlights, I would like to turn your attention on certain one-off items that are listed in slide 10 that affected both the quarter and the year ended December 31, 2017 and 2016. As part of our 2017 annual impairment review, we recognized a $30.3 million impairment loss on loss on one of our vessels. Further to the above, in Q4, 2017 we recognized a $2.4 million loss on the sale of one of our vessels. For simplicity, the discussion of the financial results below excludes the effect of the one-off items discussed above and those listed in the slide. Moving to the financial results. Revenue for Q4 2017 increased by 19.3% to $59.3 million compared to $49.7 million for Q4 2016. The increase was mainly due to the 18.3% increase in available days as our fleet size increased by five vessels compared to the same quarter of last year. Adjusted EBITDA for the fourth quarter of 2017 increased by 10.3% to $37.1 million compared to $33.6 million in Q4 2016, primarily due to the increase in revenues, which was mitigated mainly by the $2.3 million increase in management fees due to our increased fleet. Adjusted net income for Q4, 2017 amounted to $10.4 million, 30.8% higher than the corresponding quarter of last year. Operating surplus for the fourth quarter of 2017 amounted to $25.5 million. Replacement and maintenance CapEx reserve was $4.1 million. Fleet utilization for the fourth quarter of 2017 was almost 100%. Moving to the 12 months operations. Time charter revenue for 2017 increased to $211.7 million compared to $190.5 million in 2016, mainly due to the total 7.9% increase in available days as well as $12.4 million in revenue from Navios Containers, which was consolidated in our results until August 2017. Adjusted EBITDA for 2017 increased to $133.1 million compared to $123.5 million for 2016. The increase was mainly due to the increase in revenue discussed and was mitigated mainly due to the $4.7 million management fees of Navios Containers and $3.4 million in increase in management fees as a result of Navios Partners increased fleet. Adjusted net income for 2017 amounted to $21.8 million. Operating surplus for the year ended December 31, 2017 was $92.6 million. Turning to slide 11, I will briefly discuss some key balance data as of December 31, 2017. Cash and cash equivalents was $29.9 million. We do not have any debt maturities until 2020. Net debt to book capitalization remained at low levels to 36.8%; this is a decrease of approximately 13% compared to the end of last year. Long-term debt including the current portion decreased by approximately $30.2 million in 2017 and amounted to $493.5 million on December 31, 2017. Slide 12 shows the details of our fleet. We have a large, modern, diverse fleet with a total capacity of 4.3 million dead weight tons and an average age 9.9 years. Our fleet consists of 39 vessels, 13 Capesizes, 16 Panamaxes, three Ultra-Handymax and seven container vessels. In slide 13, you can see the list of our fleet with the contracted rates and the respective expiration dates per vessel. Our charters have an average remaining contract duration of approximately two years. Over 90% of our contracted revenue is from charters longer than three years. Currently, we have contacted approximately 63.5% of our available days for 2018 including days contracted at index-linked charters. The expiration dates extend to 2028. As shown in slide 14, we are an efficient low-cost operator. We are benefiting from the economies of scale of our sponsor. We have agreed to extend our management agreement until December 31, 2022, and fixed our operational costs until December 2019. Based on the new agreement, the fixed fees of Capesize and Container vessels remained the same at $5,250 per day for Capsize vessels, $6,700 per day for 6,800 TEU container vessels, and $7,400 per day for 8,200 TEU container vessels, while the fixed fees of our Panamax and Ultra-Handymax vessels increased by 3% to $4,325 per day and $4,225 per day per vessel respectively. There is no additional charge or commissions for technical and commercial management, nor any fees for S&P in financing transactions. For 2016, our total costs were approximately 10% below the average cost of our listed peer group. This translates in estimated savings of approximately $7.6 million. In slide 16, you can see the ownership structure of Navios Containers. This entity completed its listing in the Oslo OTC market in June 2017 and has raised a total of $150.3 million of equity since its inception. Currently, Navios Partners has a 33.7% ownership interest in Navios Containers plus 6.8% warrants. Navios Containers has a fleet of 21 container vessels. I’ll now pass the call to Tom Beney, Senior Vice President of Business Development, to discuss the industry section. Tom?
Tom Beney: Thank you, Efstratios. Please turn to slide 17. With all the major economies around the world growing, the IMF has increased its forecast for world GDP by 0.2% in 2018 to 3.9% and continued that pace for 2019. Accordingly, they have increased the advanced economies forecasted GDP growth by 0.3% to 2.3% in 2018, and emerging markets growth by 0.3% to 4.9% in 2018. On the back of synchronized global economic growth, dry bulk trade grew by an impressive 4% in 2017 and is initially expected to rise by 2.7% in 2018. At current BDI levels, the dry bulk market still has substantial upside and remains 48% below the 20-year average. Turning to slide 18. Data from the IMF shows further evidence of the global economic expansion as all major economies are growing simultaneously. This phenomenon rarely occurs and was last experienced during the period 2004 to 2007 and previous to that in the late 80s. Important for seaborne trade, the percentage of countries showing export growth has risen to 85%, the highest on the record and a positive sign for dry bulk trade going forward. Turning to slide 19. In 2017, steel production in China rose by 5% and the rest of the world by 5.2%. High Chinese domestic demand has translated into four-year high in steel prices. Subsequently, Chinese steel mills continue to enjoy high margins. Substitution of Chinese expensive low-quality iron ore with higher quality and lower priced imports, particularly from Australia and Brazil continues. Iron imports into China for 2017 rose 5% or 50 million tons and are forecasted to rise further in 2018. Higher Chinese domestic steel demand has been stimulated by large infrastructure projects and recovery in the housing market. The One Belt One Road project is the cornerstone of the Chinese economic plan for the next five years, and supports steel and power demand inside and outside China. Of note, on Brazilian iron ore exports, which are forecasted to grow by 20 million tons in 2018. Vale’s flagship mine S11D reaches its 90 million ton annual capacity and the Samarco mine restarts production, which will further help ton miles. Power consumption in China grew alongside steel production as Chinese economy grew by 6.9% in 2017. After the end of November 2017, total electricity consumption in China continued to rise by over 6% with thermal power generation rising by over 5%. In 2017, Chinese seaborne coal imports were up about 10%. The Chinese government continues to rationalize domestic coal production, closing down small inefficient mines and encouraging consolidation of large mining groups. It is expected that the restructuring of the Chinese coal industry will continue to keep domestic coal prices high and encourage imports as insufficient polluting mines are closed. With the ban on North Korea coal imports into China and weather related problems in Australia and Indonesia, seaborne coal had to be sourced from further afield aging ton miles. During the peak winter season, stocks of thermal coal at power plants in both India and China reached uncomfortably low levels prompting both governments to allow additional coal imports to maintain power supply. Turning to slide 21, agricultural production worldwide continues to increase. After a strong 6.9% growth in 2017, forecasts for 2018 are for a further increase. Worldwide grain trade has grown by 5.4% CAGR since 2008, mainly driven by Asian demand. After four years of record harvest, wheat, corn, and soybean prices remain low, encouraging trade. Demand increases are focused on Asian economies and especially China where incomes are rising and diets are changing. Chinese imports of soybeans in 2017 were up 15%. Most of the increases in grain production are based in the Americas or European regions, increasing ton miles for longer trips to Asia. Moving to slide 22. In 2017, about 38 million dead weight of new buildings delivered versus an expected delivery of 58 million tons, maintaining a 34% non-delivery rate. As of January the 1st, the 2018 order book stood at 34 million dead weight; using a 25% non-delivery rate for the year, it is estimated that about 26 million tons will deliver. With the low order book and continued high scrap prices, forecasts are for fleet growth in 2018 of 1.7%, the lowest since 1999. Uncertainty over new Tier III designs incorporating new SOx and NOx requirements as well as new ballast water systems is making ordering new buildings risky and encourages scrapping of older vessels. Most shipyards are unable to offer new ships before mid-2020. Therefore, the order book looks very likely to stay low. Turning to slide 23. 2017 ended with another low net fleet growth of 2.9%, about half of the long-run average fleet growth of 5.8% and below the dry bulk trade growth of 4%. Total scrapping in 2017 was 14.9 million tons, lower than 2016 but reflective of cost of additional regulations and higher scrap prices. The current dry bulk order book before non-deliveries is about 10% of the total fleet, and we note that vessels over 20 years of age currently equal about 7.5%. Given forecasted trade growth, there is balance between new expected deliveries and potential scrap candidates. With the new IMO regulations soon to come into effect, older ships should continue to scrap. The fundamentals for 2019 and beyond remain positive, and the balance between supply and demand supports higher charter rates going forward. In fact, forecasts for 2018 show the demand growth of 2.7% will be more than the level of supply growth of 1.7%. As a result, we expect the recovery in dry bulk rates will continue. Moving to slide 25 and the container market. As world GDP grows, consumption grows and so does container demand. Over the past 20 years, container trade has expanded at a 7% CAGR. In 2017, container trade grew by 5.2% and is expected to grow a further 5% in 2018 and by 4.7% in 2019. Recently, the Wall Street Journal published data showing that a record 85% of the world’s economies are growing with exports increasing, an all-time high, as previously discussed. Turning to slide 26. At the beginning of January 2017, the container fleet consisted of about 5,100 vessels with about 20 million of TEU capacity. At the start of January 2018, the fleet consisted of also 5,100 vessels, but the capacity grew to 20.8 million TEU, reflecting scrapping of older, smaller units and delivery of larger ships. In 2017, 1.1 million TEU delivered versus an expected 1.7 million TEU, giving a non-delivery rate of about 32%. About 80% of the TEU capacity that delivered during the year was in vessels over 10,000 TEU capacity. As of January the 1st, the 2018 order book stood at about 1.7 million TEU before non-deliveries. The order book declines significantly in 2019 and 2020 to 0.5 million TEU in each year. I would like to point out that over 80% of the order book is focused in the larger over 10,000 TEU ships with minimal order book for the smaller sizes. Moving to slide 27. Scrapping of older vessels continued in 2017 with about 400,000 TEU scraps, resulting in a net fleet growth of about 3.7%. Over 1 million TEU has been scrapped over the last 24 months, focused mainly on the smaller sizes. Forecasted 2018 net fleet growth are approximately the same as 2017 under expected container trade growth of 5%. The expected deliveries in 2018 will focus -- will continue to focus on the over 10,000 TEU bigger ships with minimal growth in the sub 10,000 TEU categories. Furthermore, in 2019, demand growth is forecasted an up 4.7% while fleet growth is expected to be 2.3% which will mean that 2019 will be the fourth straight year that demand growth exceeds supply growth. With little incentive to order new buildings in the current environment and continued global economic recovery, the container fundamentals continue to improve. This concludes my presentation. I would now like to turn the call over to Angeliki for her final comments. Angeliki?
Angeliki Frangou: Thank you, Tom. We’ll now open the call to questions.
Operator: [Operator Instructions] And your first question comes from the line of Noah Parquette, JP Morgan.
Noah Parquette: Great. Thanks for taking my question. I wanted to ask about the charter market, what you guys are seeing? There has been quite a bit of liquidity in like the one year type period, but I know you guys would like to look farther out before the dividend has increased. Can you talk about like what you’re seeing in your discussions with charters?
Angeliki Frangou: It’s true. I mean, actually, the one year rate is very liquid. We have seen 18,500 being done and you see that this has some normality. The other very important thing that we are seeing, even though during -- although we see the yearly low, I mean for the dry bulk, we have seen that period market still remains. And you see that even though you can have spot market even being as low as 11,000 or 12,000, you can still have quite significant forward curve and intellectual period. So, this is a return to normalized situation. I mean, we are in the low part of the Q1 just before the Chinese New Year, but we see signs of more normal market reaction. It has started from Q4 last year and we see coming in the more normalized situation. Tom, I don’t know if you add something?
Tom Beney: Yes. I think that there is certainly a liquid one year market. We have yet to see flat price charters going into the two and three years. There is some index but flat price isn’t there at this stage.
Noah Parquette: Okay. And then, I just wanted to get a sense from you guys. You were very active last year renewing your fleet. How do you see yourself now? Is there more work to be done or are you kind of happy with what you’ve done? And then, how does that kind of play into your thoughts for dividend increase?
Angeliki Frangou: One of the things we did is, last year in Q1 money, we saw that there was a good time in anticipation of this recovery. We bought all the vessels and we got delivery of the vessels prior to Q4. So, we were able to have the strong Q4 market. And I think what we are seeing now is really you need to see this market after the Chinese New Year come at the more normalized level, which we have seen optimism coming. You don’t see a selloff in the forward the moment you have a little bit of spot pick-up. I think that is very heavy market and it looks that we are moving to that direction. So we are patient but I think we are seeing some very nice trend in the market.
Operator: And your next question comes from the line of Espen Landmark, Fearnley.
Espen Landmark: I just wanted to touch a bit more on the question from Noah. I mean, you say, you do $90 million of free cash flow this year and probably you can do even more next year. You’re still able to access bank financing. So, maybe you can invest $150 million, $200 million this year, which is maybe 5 to 6 modern capes. Is that how you think you will employ the cash or do you also have other consideration?
Angeliki Frangou: I mean, clearly, we have done 37% increase of our fleet. Clearly, we have -- we are still in an early part of the recovery. I mean, we have seen a nice, health one quarter, but there is still quite some time. In the current market environment, we are generating about $90 million, if we see it stable for one year. And we see that the market is going -- it should grow on the higher lows and higher highs, coming to better level. Last year, we averaged about 1,200, going from 900 to 1,500 during the year. So, you see that the market is recovering. Our strategy, there is some acquisitions to be down, nice lockdowns. But, we also are starting a return of capital for our investors. And this is something that we are working, we are thoughtful about it, is a process that is not just buying one vessel, is a long-term. So, we are still expanding our fleet and placing fleet as one target. But we are starting also the return of capital. 
Espen Landmark: And on the quarter, there was an impairment I think, $30 million for one Panamax, which it seems a bit high given it’s built in 2005. Was there any particular reason for this?
Efstratios Desypris: No. Actually, this was a vessel that was bought back in 2008-2009, with respective high prices and it also it has a charter attached. So the acquisition price was high. Although, we got very good customers from the vessel over its years of operation, the book value was high. So that’s why the impairment was so high also.
Espen Landmark: Okay. And just the final one, NMCI didn’t have an own conference call. So, I take liberty to ask a question here on that. In the past, you’ve spoken about merging maybe some of the NMM container vessels into NMCI. But you also have quite a lot of container vessels within the Navios Europe structures, I think in the tune of 12. Are those relevant for drop down this year? And if so, how would that go above?
Angeliki Frangou: Navios Containers is the natural home of all the container vessels under the Navios Group. On the Navios -- in NMM it is natural as vessels come without rolling off charter that will be a natural period to be considered. On the Navios Europe structure, depends on the financing, the banks and how it is assigned, what period is allowed under the agreements. But, it is a national home, eventually.
Operator: Your next question comes from the line of Randy Giveans, Jefferies. 
Chris Robertson: Hi. This is Chris Robertson call in for Randy. Thank you for taking my call. With regards to the Chinese iron ore inventory levels, do you have a sense of how much more physical storage at the ports there is? And do you have any sense on how much of that inventory is the higher quality versus lower quality? Or I’m just kind of looking for commentary around additional storage capacity for the inventory there. Thank you. 
Tom Beney: Yes. I think there is plenty of storage capacity, because one of the things that’s happened over the last couple of years is they moved stockpiles from the mills actually to the ports. So, the mills are taking every day of the port capacity. You’ve also had Vale building stockpiles in China and investing in port’s stockpiles facilities. And you have stockpiles outside of China which is beating Chinese demand in Malaysia et cetera. So, I don’t think there is any possibility at this stage that we’re going to exceed the stockpiles capacity. I don’t think that’s -- there is any probability to that.
Chris Robertson: That’s really helpful commentary.
Tom Beney: Regarding the quality of the iron ore, there has been a lot of speculation around that. It would make some sense that the lower quality ores make up a larger part of the stockpiles, because with the higher price, higher quality ore which is in better demand at the moment, particularly during the winter when the steel mills want to make as much steel but have been asked to reduce their capacity. So, the steel mills are still making pretty good margins in the current environment in China and they’re under a fair amount of environmental pressure. So, they want to use the higher quality ores and the higher quality coking coals to produce steel. So, one would expect the stockpiles to be let’s say of a larger percentage of the lower quality ore.
Operator: And your question comes from the line of Herman Hildan, Clarksons. 
Herman Hildan: Good morning, everyone. My first question is returning capital to investors. Angeliki, you mean that that’s obviously a big focus now. But, also with your evaluation kind of -- as you said the free cash flow is effectively on current market rates three times your market capital, and greater value of NMM is 50% above current charter rate. I’m just curious whether buybacks -- share buyback is on the table at this point in time or whether you prefer to kind of use liquidity to grow -- pay dividends rather than buying back shares?
Angeliki Frangou: I think as the market returns to normalized level, let’s face it. I mean, we want to have a quarter into this recovery from Q4 and we started seeing a little bit of more normalized level. We are studying. I mean, return of capital has different forms and we are studying what is best for our investors in the long-term view.
Herman Hildan: Sure. And also final follow-up question on [indiscernible] NMCI obviously is a natural home for the containerships in the group. And I guess the dry bulk vessels in the group also has natural home in NMM. Is that kind of the long-term strategy? The question obviously is at what time do you expect to be able to call it consolidate all the different assets and the different Navios companies?
Angeliki Frangou: I think that on Navios Partners, I can say that they have focus on the dry bulk; we are here to enlarge our fleet, renew our fleet. And as the vessels that are coming off charter on the container segment, we have two that are coming in Q3 that eventually we will see that this will go to a company that if agreement exists on Navios Containers where you can have a natural home. I think the focus on NMM is in the dry bulk and we think we are in an stage of the recovery.
Herman Hildan: Yes. Those are kind of just understanding the process that once, call it launch or contract expire on different asset types around the group, that’s when it makes sense to kind of do the consolidation of the assets because then there is, call it undisputable charter free value attached to or is that kind of why you are doing it that way?
Angeliki Frangou: Yes, it also makes more sense. I mean, there is -- it makes sense. There are lots of drop downs.
Operator: And we have time for one more question. Our final question comes from the line of Amit Mehrotra DB.
Amit Mehrotra: All right. Thanks saving the best question for last. Thanks everyone for taking my questions. Efstratios, I had a few specific ones, given all the previous questions that have pretty much asked on the macro front. The breakeven cash flow numbers that you guys presented, the data is a bit different this time around than what you presented in the past. I just wanted to ask a few specifics. First, the 63.5% of the revenue days that you covered for 2018, I think based on kind of my back of the envelope, it looks like that’s contracted about $12,000 per day. Is that correct or is that different?
Efstratios Desypris: I mean, you have to understand, Amit, the contract, the 63.5% that we are showing approximately 40% is on the fixed base and around 25% is on the index linked base. So, what you see in the table relates only to the fixed contracted base.
Amit Mehrotra: Okay. So, the contracted revenue of $108 million is just related to the contracted, not the open days or the indexed linked days? Okay. So, it would be quite a bit higher.
Efstratios Desypris: The fixed rates are quite higher than your calculation.
Amit Mehrotra: Okay. That makes sense. And then just the breakeven that you guys talked about, for the total fleet, it’s around $11,000 per day. Is that correct?
Efstratios Desypris: Actually, we are giving you the breakeven per open day. So, it’s easy I think to calculate what is the breakeven for the full fleet? So, you see…
Amit Mehrotra: Okay. I think it’s $11,000. The point I am trying to ask you is, is that the $90 million number that you guys talked about, obviously that’s an annualized number based on today rate, it’s not really obviously anywhere close to what you are going to report in 2018 given the majority of the days are fixed. So, can you just help us think about how much below that…
Angeliki Frangou: Actually, Amit, this is one thing that maybe we should have done a better job of explaining. You have about 23 days that are in this and about -- overall about 60% of your days at indexed and open. So, the majority of your vessels are, yes, fixed in this and indexed plus premium to the index which gives you visibility that automatically you earn the money. And in some of the contracts, in majority of the contracts we also can convert to fixed rate, meaning we can convert on the forward curve immediately to fixed, but we also have quite significant upside. So, 40% -- 39% of the base are fixed totally, so that you cannot change the number, and 60% are really either open 23% or indexed or open. So, in reality, you have two-thirds of -- almost 60% able to achieve a much higher -- to reset on a higher rate. The reason we did that we are not trying fix loans, but as we are, in the early part of recovery, we see basically one good quarter, last quarter with the healthy market. We were trying do a flexible structure for the Company in order to capture the upside. As rates move to the high-teens and low-20s, and we see more period, we’re of course going to be moving more to the fixed rate environment.
Efstratios Desypris: Amit, just one clarification also on the numbers that we are mentioning. The $90 million we are requiring is based -- if you apply the current rates on the open and indexed days, not for a full fleet. So, the fixed days in whatever the year, it’s a fixed amount, as Angeliki explained. So, you have to apply the current market and the open indexed days to arrive when the calculation... 
Amit Mehrotra: Okay. That was my question. So, the 90 million is actually a realistic earnings power number this year if the current rates stay for the proportion that’s actually exposed to the variable rates, correct?
Angeliki Frangou: Yes. It’s remaining one year each, which is a very -- let’s not forget guys, this is low part of the dry bulk market in Q1. We are one week before the Chinese New Year.
Amit Mehrotra: Okay. And I’m sorry to get into too many details on the call. But that’s really helpful. Thank you. One quick one maybe more higher level for you Angeliki is. You and the team have been very successful sourcing, I would say, sourcing transactions or maybe capitalizing on the weak market generally for the less well capitalized players. But, I would imagine the deals are somewhat harder today, given the prices have also increased, of course that also helps your sales, your vessels, some of the order vessels. But how does that into you’re thinking in terms of as your balancing? I mean, Navios Maritime Partners is the MLP, one of the few in the world that does not pay a distribution. But yet, you’ve justified that in the past by saying that there is a lot more accretive opportunities and that’s been absolutely correct. But, if you look out prospectively, there is -- the market is definitely better, the deals are not as accretive clearly over a longer term. So, how you balance deploying cash in accretive transactions with actually doing something that MLPs are structured to do, which is paying a distribution, just balancing those two in your mind, in the current market would be very helpful.
Angeliki Frangou: I mean, you have seen the deals we are finding, I mean, even in 2018 we did deals with banks and different transactions, the Panamax is sure. Realty is that we understand that any decision or returning of capital is a long-term decision. We were quick in 2015 on rebalancing. 2016 has happened to be one of the worst years in dry bulk in recorded history, at least on BDI level. And in 2017, we raised money in anticipation of market recovery, deployed the money, and had everything in place in order to have vessels in the water in Q4. So, we are working, we are starting and we are there to return capital in the best possible way for our investors.
Operator: Thank you. I would now like to turn the call over to Angeliki Frangou for any additional comments or closing remarks.
Angeliki Frangou: Thank you. This completes our Q4 results.